Operator: Welcome to the Rollin's Incorporated Fourth Quarter Earnings Conference Call. [Operator Instructions]. I’d now like to introduce to your host for today's call Ms. Marilynn Meek. Ms. Meek, you may begin.
Marilynn Meek: Thank you. By now you should have all received a copy of the press release. However, if anyone is missing a copy and would like to receive one, please contact our office at 212-827-3746 and we will send you a release and make sure that you are on the company’s distribution list. There will be a replay of the call, which will begin one hour after the call and run for one week. The replay can be accessed by dialing 1-888-203-1112 with the passcode 8203851. Additionally, the call is being webcast at www.viavid.com and a replay will be available for 90 days. On the line with me today is Gary Rollins, Vice Chairman and Chief Executive Officer and Harry Cynkus, Senior Vice President, Chief Financial Officer and Treasurer. Management will make some opening remarks and then we’ll open up the line for your questions. Gary, would you like to begin?
Gary Rollins: Yes. Thank you Marilynn, and good morning. We appreciate all of you joining us for our fourth quarter and year-end 2014 conference call. Harry will read our forward-looking statement and the disclaimer and then we’ll begin.
Harry Cynkus: Our earnings release discusses our business outlook and contains certain forward-looking statements. These particular forward-looking statements and all other statements that have been made on this call excluding historical facts are subject to a number of risks and uncertainties and actual risks may differ materially from any statement we make today. Please refer to today’s press release and our SEC filings indicating the Risk Factors section of our Form 10-K for the year-ended December 31, 2013 for more information and the risk factors that could cause actual results to differ.
Gary Rollins: Thank you, Harry. We’re very pleased to have achieved record revenues and profit for both our fourth quarter and the full year 2014. This marks our 17th consecutive year of increasing revenues and operating profit. For the quarter revenue grew 5.9% to approximately 344 million compared to almost 325 million in the last year's fourth quarter. Net income increased 7% to approximately 30 million with EPS of $0.21 per diluted share compared to 28 million or $0.19 per diluted share for the fourth quarter of 2013. All of our business lines experienced good growth during the quarter with residential pest control up 5.5%, commercial pest control grew 6.5% and termite grew 7.4%. We’re also pleased to have achieved margin improvement across our U.S. family of brands which include Orkin, HomeTeam, Western Pest Control, IFC, Trutech, Waltham and Crane. Revenues for the full year rose 5.5% over 1.4 billion compared to revenues of approximately 1.3 billion for 2013 and income grew at 11.9% to a 136.7 million compared to net income of a 123.3 million for the same period last year. Our bed bug business ended the year at a record high having grown 18% to nearly 64 million for the full year. Even as national bed bug media attention has lessen this pest continues to be a growing threat wherever people congregate, theaters, hotels, airplanes, schools, hospitals, retirements, apartment complexes, residents and so on. Bed bugs are quite [inaudible]. We believe that this ancillary service will continue to contribute to our growth for some time. We also increased demand for our mosquito service which continues to be an important contributor to our ancillary service segment. As we have discussed in the past, ancillary business is very important to us as it provides us the opportunity to introduce our other residential and commercial pest control services to those home owners and businesses who had not been a customer. I will be remised if I didn’t recognize that what we accomplished in 2014 as a result of the contributions that our 11,000 employees make every day. They are responsible for executing our programs while enabling us to achieve continuous improvement in all that we do. This commitment was reflected in our attaining customer satisfaction, improvement across all brands. As I’ve shared, we track this area by our net promoter scores which once again improved overall. These climbing scores were an indication of the success we’re having in meeting and often exceeding our customers' expectations. It's not enough to just gain new customers but we must work equally hard to have long term relationships with. As I mentioned on our last call, our analytics has identified several opportunities to help improve customer retention. We’re market testing these this year which should help ensure that 2015 will be another year of both improving customer satisfaction as well as retention. Employee retention is equally important to us, one of the most important components of customer loyalty is the relationship that they have with the technician who services their home or business. These men and women are the face of Rollins to our customers. We take this relationship very seriously. Our tech's [ph] continue to benefit from our industry leading training which enables them to perform their service task more efficiently and effectively. 2014 was a positive year for acquisitions as we invested approximately 80 million in cash or stock. Our three largest acquisition were Allpest and Statewide both in Australia and PermaTreat based in Northern Virginia. The outlook for additional acquisitions this year is good as many owners are concerned about the long term impact of Obama Care and the growing importance of one having a strong internet presence which by the way is very difficult for the smaller companies to achieve. Given these factors we believe that a number of companies will be looking to sell their business in the future. To take advantage of this situation we’re increasing our prospecting activities. We’re very successful in 2014 and growing our international franchise network which end of the year stood at 37 having added a record 14 franchises worldwide last year. These new franchises are spread across Latin and South America, the Middle-East, the Caribbean and Asia and all will be benefiting from the world's number one brand in pest control Orkin. We’re confident that we will continue to add to this growing list of locations this year. In fact this month we added India, headquartered in Bangalore as well as three other cities. We’re very aware of the sacrifices of the men and women of the armed services make on our behalf. Last year we have [inaudible] engaged along with others by participating in the Joining Forces Initiative. This initiative is directed to help our returning service people find jobs as they move forward with our civil lives. Facilitating this effort are the Orkin, HomeTeam and western career websites [ph]. Each of these brands has a separate internet page dedicated to recruiting veterans. This medium allows the candidate easy access and applying for jobs within different physician categories including service, sales and management. We’re also supporting reservist and military spouses through our partnerships with employers and Support of Guard and Reserve and the military spouse employment partnership. All of these endeavors benefit our service men and women while improving the makeup of our employee teams. We have a goal to hire over a 1000 of these veterans over the next few years. To-date we’re more than half way there as we have hired and integrated into the company 546 individuals. Let me give you a quick update on HomeTeam, this past year they installed 87,000 tubes in the wall of 5.5% over the previous year and in-line with our expectations. We have established a call center in Raleigh, North Carolina to assist our branches where there are activation objectives. With the economy improving we’re optimistic that both installs and activations by new customers will improve in 2015. Let me wrap up by noting that we’re on target with our plan to roll out our new CRM branch operating system and now have 74 branches on the system. We’re particularly satisfied with how this roll out has gone and the following improvement in productivity and other business metrics. We’re continuing with our next round of roll-outs. For the first quarter we’re targeting 35 locations but like any change of this magnitude we have plenty of work ahead. We enter 2015 as we do each New Year grateful for what we have achieved and excited about our plans for the upcoming year. Rollins is blessed to be in a business that has a never ending supply of opportunities protecting people's health and property as a noble and financially beneficial mission. We remain thankful for our customers, our dedicated employees and our shareholders all of which have an essential role in what we do and what we achieve. We look forward to sharing our progress with you in the first quarter and I will now turn the call over to Harry.
Harry Cynkus: Thank you, Gary. Good day mates and thank you all for joining us on the call. I'm still reminded of your 2014 Australian acquisition that we’re most proud of. One never gets tired of putting another record year in the books and it now makes it to 35th consecutive quarter of improved earnings results. I don’t think Oscar Wilde was thinking of us when he said, consistency is the hallmark of the unimaginative. It's more like what Roger Staubach said, in any team sport the best teams have consistency and chemistry. It's through the combined efforts of all our team members that have pulled together, working together that has allowed us to consistently perform, growing our business and improving profitability. Let's talk about the quarter's performance. Today we reported revenues of 344 million representing 5.9% revenue growth, income before income taxes rose 13% but due to a less favorable income tax rate in 2014 net income increased 7% to 29.9 million or $0.21 per diluted share compared to 28 million or $0.19 per diluted share for the same period in 2013. If Congress ever passes corporate tax reform reducing the effective tax rate by closing loop-holes there will be winners and losers, Rollins will be on the winning side of that ledger, there being very few tax breaks that we get to take advantage of. One can only dream. Year-to-date revenues 1.412 billion, a 5.5% increase. Net income for the full year has increased 11.6% another year of growing of net income at 10% or better to a 137.7 million or $0.94 per diluted share with EBITDA coming in at 263 million. I'm sure many of you saw the headlines, 2014 breaks heat record challenging global warming skeptics. I read that and my heart sank. I always thought global warming was going to be good for the pest control business, well, if you want to look at the pretty multi-colored heat map included, much of the U.S. was actually cooler with the exception of the far western U.S. last year with pretty much only the pacific regions experiencing any significant above average temperature. Interestingly that was the area of the country that we saw the best growth in demand, bottom-line global warming should help pest control however not this year. Last quarter we talked about the great September and the positive pest control lead growth trending continuing into October. Well turns out we saw positive growth in demand for both residential and commercial throughout the quarter and continuing right now into January. Fundamentals that drive our revenue leads, pricing closure all remain strong and improved in the quarter. Let's get deeper into the results, this quarter we have seen 5.9% revenue growth among all brands and all service lines. We saw good growth in our commercial pest control business with revenues up 5.9%. Residential pest control was up 5.5%, while our termite service line was up 7.4%, favorably impacted by our recent acquisitions including Allpest, Statewide and PermaTreat. Acquisitions accounted for approximately 2.4% of our overall growth. Our Canadian operation which does around 7% of our company's revenue had good organic growth, however their weakening currency impacted our growth this quarter costing us 6/10ths of 1%. With last week's rate cut by the Bank of Canada, the Canadian dollar dropped to I think it was another nickel to $0.81, the lowest level in nearly six years. If that continues at that rate it could dent our growth 7/10ths of a percent next year. We love the business in Canada, Orkin, Canada has been a great contributor to our growth and profitability over the years and the stronger U.S. dollar just makes for an even better case to reinvest in Canada. Once we start running against last year's number in Q1, Australia will have some additional drag but it's a much smaller piece of our business today. Let's look at the service lines that make up our business, commercial pest control which makes up 42% of our business was up 5.9%, 6.5% excluding fumigation. We saw strong growth and performance from our national account sales team, a good way to close out the year. Thanks guys and gals. The impact of the currency exchange was reflected almost exclusively in our commercial business as most of Canada's business is commercial. Domestically excluding acquisition and exchange variation, commercial was up 4.8%. Our residential pest control continues to shine growing 5.5% for the quarter representing 41% of our business. The beauty of our business model is recurring revenue. Our business with a strong recurring revenue has been compared to a subscription business that doesn’t have an expiration date. When you add the growth in our customer base last year and continuing in elasticity, it gives us comfort heading into 2015. Gary has already touched on improving customer satisfaction scores which translated into improved retention rates for our commercial business. In fact retention may have been the best ever for the quarter and year overall, but it then translate as well into our residential pest control which was off a tad. In accounting lingo, a tad is not much. But it didn’t improve so we’re not satisfied. Actually we’re little puzzled by it and breaking it down by the short, mid and long term customers to gain some insights and make sure we’re taking the right steps to see it improve next year. Our terminate and ancillary services grew 7.4% and represents almost 17% of revenue, the 7.4% was certainly helped by the acquisitions, the fourth quarter is never a big selling season for termite but we grew a respectable 2.4% excluding the acquisitions. Fortunately improved closure and pricing continued to result in great sales dollars despite the decrease in demand that we experienced. Gary has already given you the numbers on bed bugs but I would like to point out to those who might have missed Orkin's press release earlier this month, we announced that Chicago heads our top 50 bed bug cities list for the third year in a row. I'm not sure what it is with Ohio but four out of the Top 10 cities are in Ohio. Do a lot of people from Ohio spend time in Chicago? Anyways many of you this on call are in New York City and you may take solace in knowing New York city fell one place to 18th. Gross margins for the quarter increased to 49.1% versus 48.5% in the prior year's fourth quarter due primarily to favorable healthcare cost and casually claim development while maintaining good cost controls across most spending categories. Depreciation and amortization expense for the quarter increased 1.4 million totaling 11.3 million, depreciation was 5.3 million, the larger piece of the depreciation amortization, continues to be the amortization of acquired customer contracts totaling $6 million for the quarter, 26.9 million for the full year. This represents a significant after tax charge of $0.12 this year. When we do pest control acquisitions, there is seldom any significant hard assets on the balance sheets and as a result most of the valuation ends up being classified as customer contracts, intangibles and other intangible assets. We currently carry a 133.5 million of such from acquisitions on our balance sheet. With additional acquisitions ongoing in the future and current amortization running approximately 27 million a year we will have more than a few more years of this expense flowing through the P&L. We see little risk and possible impairment charges. All of the businesses we have acquired have grown as we continue to write-down the value of the customer contracts recognized at the time of the acquisition while fully expensing the cost of any new customer acquisitions. While we’re on the subject of non-cash charges running through our P&L we have nearly $11 million this year in stock based compensation which represents a $0.05 of charged to earnings as well. Sales, general and administrative expenses for the fourth quarter increased 4.9 million or 4.6% to 32.4% revenues decreasing from 32.8% for the fourth quarter ended December 31. The decrease in margin percent is due to reductions made in administrative salaries, reflecting realignment of some of our operations and cost containment programs. These were initiated at the corporate office [ph] late last year as well as some additional expense reduction related to last year's advertising test which did not reoccur this year. We didn’t catch as many breaks in our provision for income taxes as we did last year when we enjoyed a 32.1% rate in the fourth quarter. This year we came in at a 35.7% for the quarter, 37.4% for the full year and we expect it to run around 37.7% for next year barring any other congressional actions which I won't comment further on. As consistent as we perform each quarter and every year has it's own set of challenges and opportunities. This quarter was no exception. One challenge was having to overcome the impact from the implementation of our CRM branch operating system. As Gary has already pointed out we were very pleasantly surprised that in the initial branches where it has been implemented we have seen negligible negative impact and in some branches we actually saw positive results in the first month of implementation. Keep in mind that convergence of this magnitude don’t happen without additional out of pocket initial cost to our normal operating cost. In this quarter we had to deal with higher implementation cost primarily trainers and travel along with the related depreciation expense for the first time. Combined the cost is approximately $2.5 million one full cent and a 1.7 million increase over last year's run-rate. I pointed out this quarter as these items will continue to impact us significantly next year as well. We’re investing in the future of Rollins and all of it's pest control branch. As a situation we benefited from on the other was the lower fuel prices at the end of the quarter helping us to the tune of approximately $500,000. Please note we experience a one month lag on each month's actual gas usage due to normal delays in receiving the bill and processing time. November's usage was recorded in December and in January we will see December's charges. Approximately 80% of the savings is reflected in CSP with 20% in SG&A. Let's talk briefly about 2015, next year, fuel is an obvious opportunity as we will continue to benefit from the 650,000 to 800,000 plus gallons of fuel purchased each month, so oil prices rebound. We don’t hedge so we will see the changes in fuel prices pretty much the following month which is nice when prices are falling and you’ve no expense of hedges to write-off. But there are always challenges and we will have to deal with the impact of exchange rates which we have already discussed, healthcare, how much medical inflation will we see next year. The largest challenge, that will be the implementation and roll out of our [inaudible] and branch operating system. As CFO, I must ask will it continue to perform as it has? Will there be performance or system issues as the number of branches that are online continue to expand? Have we incorporated all of the subtle differences that may exist in different parts of the country? Let's not forget the additional cost with a full roll out as we press ahead. We estimate cost could approach $12 million in 2015 increasing $6 million over this year. Gary says I worry too much and spend nap time working to make it happen. We’ve a history of investing and improving our business and this will be no different. Our guidance for next year which shouldn’t come out as a surprise, financially we can do better and we’re planning on it. As in the past we continue to build on our solid foundation, possessing a strong balance sheet and cash flows. Rollins continues to be financial strong, EBITDA reached almost 265 million, net cash provided by operating activities grew nearly 20% to 195 million this year. With our strong cash flow we continue to reinvest in the business. The number one priority for our cash continues to be investing in what we know best, pest control and only pest control. We funded our $28 million in capital expenditures and invested $63 million of our cash in acquisitions this year. With cash to spare we returned to $110 million to our shareholders through both our stock buyback and dividend programs. We bought just over 1 million shares of our common stock and our authorization purchase of an additional 3.9 million shares. For the third consecutive year the Board declared a special dividend paid in the fourth quarter, this year $0.10 per share totaling $14 million. We began the year with a $118 million in the bank and no debt and ended the year after all of our investments with a 108 million in no debt. Needless to say we feel good about our financial condition as well as our future. Last night we announced that the Board of Directors has approved a 3 for 2 stock split of the company's common shares. The split will be affected by issuing one additional share of common stock for every two shares of common stock held. The additional shares will be distributed on March 10, 2015 to stock orders of record at the close of business on February 10, 2015. In addition, the company declared a regular cash dividend of $0.12 per share on March 10, 2015 to shareholders of record at close of business February 10, 2015. The cash dividend will be paid on the pre-split shares and represents a 14.3% increase over the prior quarterly dividend. This marks the 13th consecutive year the Board has increased our dividend by a minimum of 12% or greater. Two weeks ago we had our annual leadership meeting with almost a 150 of our top managers from all our operating companies. It's an amazing group of extraordinarily talented people and everyone was enthusiastic and very positive about the plans we have for 2015. Our team is focused and see some wonderful opportunities we have before us. Lastly let me express our appreciation for a job well done to all of the Rollins associates whose hardwork and dedication are behind these outstanding results. With that I will now turn the call back over to Gary.
Gary Rollins: Thank you, Harry. I will now open up our call to your questions.
Operator: [Operator Instructions]. And we will take our first question from Joe Box with KeyBanc Capital Markets.
Joe Box: I know just gaining [ph] at one of the service suite roll-out but is there anything that you guys can share with us kind of early on in terms of productivity gains or maybe even what some of your branches are saying about what they like most about the system, or what they like least about the system?
Harry Cynkus: In terms of what they like I think most about the system and we get great reviews and people sending, when am I going to get it? Is that the technicians have iPhones as supposed to heavy bulky handheld computers with a secondary phone and what not. So the iPhone has been a huge hit, I would rather carry an iPhone, I don’t know what was it 3-4 pound handheld. So, that clearly for the technicians -- lately [ph] it's a big win. You know the administrative people in the office. I'm surprised that they have seem to miss or don’t miss those green streams, you know the Cayman two tone green and they seem to be adapting real well to the multi-color window based screens that we’re now dealing with.
Gary Rollins: They also like the flexibility, it's lot easier to move a customer to change their service time which is necessary because the customers are not always there on their pre-determined service stage, so they can move around and it doesn’t take a lot of effort to do that. I think the thing is just a lot quicker, they don’t have to wait so long for the screen changes. We have really gotten grades from the very beginning even when -- there were many features that wouldn’t work exactly well. So the field has been very positive as far as this conversion is concerned. Productivity wise it's just too soon to tell, as Harry said we have got some branches that have improved immediately and I think those have the later branches. We learned something through these conversions, the best way to do it, the best way to do the training, the best way to do the pre-preparation. But we’re optimistic about improving the number of accounts that we can service each day.
Harry Cynkus: Though I do want to point out while we have seen productivity gains in some of the branches they are modest coming out of the box and there is a lot of best practices and we have talked about having, besides having an implementation team whether we don’t follow and we don’t know what's the best timeframe but to have productivity teams follow up and come back and share best practice and what not. We’re in the real early -- you know one thing we see, we see productivity gains with the technicians, administrative office, we’re seeing higher overtime in the first month or two. We’re seeing some drop-off in AR Collection so we’re seeing some degradation in the AR region.
Gary Rollins: And that’s the reason frankly because we’re working on the conversion. So there are time, application changes and one of the things that we’re also looking at is we have a special collection team that supports that branch for the first two days -- excuse me two months. So we don’t have that kind of deterioration.
Harry Cynkus: I think the biggest thing we’re surprised about is going into this we’re expecting to see some degradation for 2-3 months before a branch snap back and then started seeing gains and we are just not seeing the losses over the -- the problem is coming out of the gate. My biggest concern continues to do it, as I think I’ve listed, talked about on the call, as you add more and more branches to the system what's that do, have we figured out how to keep the response time timely. Have we figured it out all the little wrinkles that we will see going to different parts of the country, but so far so good job.
Joe Box: Harry, earlier you talked about $12 million spend on the roll-out in '15 which I think was an incremental 6 million year-over-year. Should we think about that as being a level load at 3 million per quarter or is there going to be a unique cadence with that spend?
Harry Cynkus: No I think at this point is level, because we’re limited by the number of trainers we have as to how many branches we can do in a given month and quarter. So, we have loaded and trained and brought people to the level where we think we’re going to be at a level throughout the year, I don’t think, unless we find some metric into the third quarter where you know this is going so smooth and if we double the implementers we can double the number of branches being implemented and speed up the getting across all of them. But right now the plan is to go at a pretty steady and it's probably going to average 10 plus branches a month, some months more. We have identified some months to have a break in the schedule to catch our breath and if we have to make some adjustments, there are some changes, you know it's built into the schedule.
Operator: And we will take our next question from Dan Dolev with Jefferies.
Dan Dolev: So question on the residential business, your compares were somewhat easier in the fourth quarter for the residential, I think about 150 basis points and yet if my numbers are correct, the acceleration ex-M&A is only about 10 basis points. Now I think you mentioned you were in that 100%, was that -- can you be a little bit more specific on what you think happened and is there any reason to believe that the implementation of the CRM system had anything to do with that at least on a short term basis. Thank you.
Harry Cynkus: No the CRM, we don’t see it -- that’s a good thing we go back and look at see if our starts I don’t think -- I think I'm missed tracking that numbers, starts in the branches undergoing implementation whether we -- but there is just not enough of them to that should overall impact that. I mean the fourth quarter is always a tough quarter to predict. So October was a great month, and then leads dropped off in November and it's okay we need to hunt it down and turn around and December picked up. So it's certainly gets real variable, January looks like it was doing real well and then the Mid-West in New England area got hit with the little snow which I'm sure slowest down here in January. Of course a year ago, Gary and I were both sitting at home today doing this conference call, we got snowed out here in Atlanta. So there is really nothing I can really specifically point at. I think overall we’re happy with seeing the leads through the first six months of the year, we were seeing decreases, picked up in the third quarter and it continued growing here in the fourth quarter. So, you need the leads to grow the business and overall we feel good about it.
Dan Dolev: And then two more questions, one on HomeTeam size, see this correctly, there has been an acceleration in the installs in Q4. Can you maybe--
Harry Cynkus: Yes, I think they were up 5% in Q4 where they have been up 4% in Q3. So homebuilders, the pace drops down considerably in the Q4, and they tend not to start too many homes late in the year and carry inventory across. The sentiments are strong, we are modeling that, we think and our markets will see another possibly 4%, 5%, increase installs next year over this year.
Gary Rollins: We have very good profit improvement at HomeTeam as a result of a reorganization that we initiated mid-year. So we will get some of that this first half but I think HomeTeam had a good year.
Dan Dolev: And last question if I may ask, what is the rationale for this stock split? Why now?
Gary Rollins: Sure. Rollins has had a long history of stock split and I think it's really driven by liquidity, having more shares available to trade in the market. Every time we split the shares we see the volume trade and make it easier for people to get in or get out of the market, we’re feeling good about our business and like I said this is I think the fourth split in 15 years.
Dan Dolev: It seems to be working.
Gary Rollins: Yes.
Operator: [Operator Instructions]. And we do have a follow-up from Joe Box with KeyBanc Capital Markets.
Joe Box: Just one follow-up for you Gary, in the release that came out this morning, you alluded to some strategic initiatives that you think could help with 2015 numbers. I'm just curious if there is anything that’s new or different that maybe you could share with us.
Gary Rollins: I don’t think that there is anything new so much as we really kind of learned a lot with our home suite and business suite last year and our EDS, our sales management system and we have kind of worked out some of the I guess bumps in a road that we had there. So we really are optimistic that we’re going to get a lot bigger lift and then from a marketing point of view, we have got things that we really can't talk about but we plan to make some changes there. The analytics team I guess is relatively new for us. I think that was mid-year and they have come up with some very interesting plans and programs that we intend to test. So some of our stuff is kind of secret that we can't talk about it at this particular juncture but as always I think that’s one of the traits of the company. I think that we have, every year we have programs that we feel will be very important to help us maintain our growth and our profitability.
Operator: And ladies and gentlemen with no further questions in queue I would like to turn the conference back over to management for any closing remarks.
Gary Rollins: Well this has been an exciting year for our company. We benefited from a great deal of enthusiasm and energy. We have maintained that enthusiasm going into this New Year. We have great teams across all areas of our business who are focused on our goal to always get better and be better and I appreciate you joining us today. We look forward to visiting with you again in 2015. Thank you.
Operator: And ladies and gentlemen we do appreciate your participation in today's conference. [Operator Instructions]. Once again we do appreciate your participation. Have a great rest of your day. You may now disconnect.